Operator: Good morning, and welcome to Seven Hills Realty Trust Fourth Quarter 2024 Financial Results Conference Call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the call over to Matt Murphy, Manager of Investor Relations. Please go ahead.
Matt Murphy: Good morning. Joining me on today's call are Tom Lorenzini, President and Chief Investment Officer, Fernando Diaz, Chief Financial Officer and Treasurer, and Jared Lewis, Vice President. Today's call includes a presentation by management followed by a question and answer session with analysts. Please note that the recording, retransmission, and transcription of today's conference call is prohibited without the prior written consent of the company. Also note that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and other security laws. These forward-looking statements are based on Seven Hills Realty Trust's beliefs and expectations, as of today, February 19, 2025, and actual results may differ materially from those that we project. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call. Additional information concerning factors that could cause those differences is contained in our filings with the Securities and Exchange Commission or SEC, which can be accessed from the SEC's website. Investors are cautioned not to place undue reliance upon any forward-looking statements. In addition, we will be discussing non-GAAP financial numbers during this call, including distributable earnings, and distributable earnings per share. A reconciliation of GAAP to non-GAAP financial measures can be found in our earnings release presentation which can be found on our website at sevenreid.com. With that, I will now turn the call over to Tom.
Tom Lorenzini: Thanks, Matt, and good morning, everyone. On our call today, I will start with an update on our fourth quarter activities and performance, followed by an overview of our loan portfolio before turning it over to Jared to discuss the macro perspective and the opportunities that we are seeing in this competitive environment as it relates to our pipeline. Fernando will then review our financial results, before opening the call to questions from sell-side analysts. Before jumping into our quarterly results, I would like to highlight that for the full year, Seven Hills Realty Trust soundly outperformed our benchmark index and the REIT Mortgage Commercial Financing Index by more than 20%. This is the second consecutive year that we have outperformed this index allowing us to deliver meaningful shareholder returns. It is a testament to the quality of our borrowers as well as our underwriting and portfolio asset management. Turning to our fourth quarter results, last evening, we reported which met the high end of our guidance range. We further strengthened and diversified our portfolio by increasing our total loan commitments during the quarter to $641 million from $594 million at the end of Q3. Our average loan commitment also increased quarter over quarter from $30 million to $31 million. Our loan portfolio continues to perform well and currently has a weighted average risk rating of 3.1. We have no five-rated loans, no loans in default, and no non-accrual loans. We ended the quarter with $70 million in cash and ample borrowing capacity after receiving eight loan repayments totaling $165 billion during the year. Positioning us to further grow our portfolio strategically taking advantage of opportunities in our pipeline to generate attractive risk-adjusted returns. Prior to our recycling in capital generated through future loan repayments, we would expect to grow our portfolio by approximately $100 million in 2025. Turning to a few additional highlights from the fourth quarter. We were active during the quarter, closing two loans totaling $87 million. The first loan was a fully funded $42 million refinance for the student housing property serving the University of Mississippi. To finance the acquisition of a 178-room hotel located here in Boston. Also, during the quarter, we received one loan repayment. Our stark bonus is loan, which totaled $37 million. Then in early January, we closed on a $31 million bridge loan to finance the acquisition of another student housing property. This one located at Texas State University in San Marcos. Looking forward, we are not anticipating any first-quarter repayments, but do expect six to seven loans totaling approximately $200 million being repaid in the back half of 2025, which should position us well as the markets continue to improve. Turning to our loan book as of December 31, Seven Hills Realty Trust's portfolio remained 100% invested in floating rate loans, which consisted of 21 first mortgages, an average loan size of $31 million, and total commitments of $641 million, an increase of approximately 8% or $47 million from last quarter. Future fundings decreased modestly to 5% of total commitments and our investments have a weighted average coupon of 8.2% and an all-in yield of 8.6%. In aggregate, the portfolio has a weighted average maximum maturity of 2.6 years, including extension options and a stable overall credit profile with an average risk rating of 3.1 and a weighted average loan to value at close of 67%. We continue to thoughtfully diversify our loan book. As of today, our office exposure has been reduced to 26% of our total outstanding loan dollars down from 30% at the end of Q3. But more importantly, all of our office loans are secured by well-leased properties, remain current at debt service, and continue to be actively supported by our borrowers. In addition, 52% of today's portfolio consists of multifamily and industrial loans, followed by select service hospitality and grocery-anchored retail loans. Geographically, we continue to be well diversified across the country. From a capital perspective, our lending partners remain incredibly supportive of our business. We amended our UBS master repurchase agreement by extending the maturity date to February of 2026, while also increasing the maximum facility size by $45 million to $250 million. Secondly, we extended the maturity date of our $125 million Wells Fargo mass repurchase facility from February 2025 to March of 2026. Before I turn the call to Jared, I would like to mention that in December, Seven Hills Realty Trust elected Ann Danner to our Board as an independent trustee. Ann brings more than 40 years of real estate industry experience and her strong background in residential and multifamily development, investment, and operations, will be a significant asset to Seven Hills Realty Trust going forward. With that, I will now turn the call over to Jared.
Jared Lewis: Thanks, Tom. I will provide a quick macro perspective update. As mentioned on our last call, at the end of the third quarter, we began to see real optimism in the market as the Federal Reserve began reducing interest rates. As a result, over the fourth quarter, we saw a significant increase in loan request activity and averaged over $1.2 billion of monthly loan registrations during the quarter. More notably, however, we saw an increase in credit quality and in particular transactions that fit our stringent underwriting criteria evidenced by a substantial increase in term sheets issued when compared to the same period last year. Beginning at the end of last year and so far in early 2025, we have seen a great deal of liquidity return to the market. The CMBS and CRE CLO markets are active and competition among lenders for new loans continues to drive spreads downward, particularly in the multifamily sector. The confluence of recent interest rate reductions, increased liquidity, and the bottoming of real estate values gives property owners and borrowers more conviction to make buy, sell, or refinance decisions. With significant upcoming loan maturities, this combination should help fuel increased transaction activity as we progress into 2025. Furthermore, a significant amount of these upcoming loan maturities are floating rate bridge loans originated in 2021 and 2022 and do not readily qualify for permanent financing today. Many of these properties are likely to require additional investment in new floating rate debt to facilitate the completion of their business plans, and to allow for additional time for property analyze to stabilize. As I mentioned earlier, our pipeline of financing opportunities remains robust. And while borrowers are evaluating both fixed and floating rate options, we are seeing that many are more open to signing floating rate loans for the near-term flexibility they offer. Like many lenders, we continue to see an increase in opportunities to finance multifamily properties. However, we continue to be thoughtful about how we deploy our capital and have found success targeting sectors of the multifamily market where there's less competition, like student housing. We also continue to see interesting opportunities in the industrial, hospitality, and retail sectors where we can leverage the expertise of the broader RMR platform to help us better evaluate transactions that generate stronger, risk-adjusted returns on our investments. Generally speaking, this is a good environment for floating rate lenders like us. The relative stability of short-term rates compared to the recent volatility in a ten-year treasury rate makes floating rate loans useful for a wide array of circumstances. This allows us to be very selective during our credit analysis process while still being able to strategically expand our loan portfolio. To that end, we currently have two outstanding term sheets on industrial and hospitality properties, totaling $65 million. In addition, we have one $19 million loan in diligence with a repeat borrower for the refinance of the student housing properties serving Baylor University. This loan is a three-year initial term with two one-year extension options, subject to property meeting certain requirements. Barring any issues in diligence, this loan should close within the next thirty days. Now, I would like to turn the call over to Fernando.
Fernando Diaz: Thank you, Jared, and good morning. Yesterday, we reported fourth quarter 2024 distributable earnings of $0.33 per share. For the full year, we reported distributable earnings of $21.3 million or $1.45 per share, compared to our dividend of $1.40 per share. In January, we declared a regular quarterly dividend to shareholders of $0.35 per share to be paid tomorrow, February 20th. On an annualized basis, the dividend yield on our stock is approximately 10.6% based on yesterday's closing price. Our seasonal reserve remains modest at 140 basis points of our total loan commitments as of December 31st, compared to 160 basis points as of September 30th. Our seasonal provision decreased by $450,000 for the third quarter primarily due to an improvement in the macro forecast used in our seasonal model and improved performance at certain of our loans during the fourth quarter. As a reminder, to help protect us against investment losses, we structure all of our loans with risk mitigation mechanisms such as cash flow sweeps, interest reserves, and rebalancing requirements. And we do not have any collateral-dependent loans or loans with specific reserves. As of year-end, Seven Hills Realty Trust maintained its conservative leverage metrics and continues to have ample liquidity. We ended the quarter with $70 million of cash on hand, ample borrowing capacity, and a weighted average borrowing rate of SOFR plus 223 basis points. Total debt to equity increased to 1.6 times from 1.4 times at the end of the previous quarter, primarily due to the loan originations in the quarter discussed earlier. We believe that our conservative leverage and available borrowing capacity provide a strong opportunity to originate accretive loans that will benefit the company. Turning to our outlook and guidance. We expect first-quarter distributable earnings to be in the range of $0.30 as a result of the fourth quarter payoff and the timing of the closing of new originations currently in our pipeline. As Tom and Jared discussed, we have a robust pipeline with several loans in advanced stages of negotiation. However, these loans will not close until later this quarter or in the second quarter. That concludes our prepared remarks. And with that, operator.
Operator: Thank you. We will now begin the question and answer session. If at any time your question has been addressed and you would like to withdraw your question, please press star then two. At this time, we will pause momentarily to assemble our roster. And the first question will come from Matthew Erdner with Jones Trading.
Matthew Erdner: Hey, good morning guys. Thanks for the question and Fernando, thanks for that clarification on the interest income and kind of the timing there. That was actually the first question that I had. But, you know, I guess, turning to the portfolio, you are targeting $100 million in net originations, and I believe you said $200 million in payoffs. You know, how comfortable are you guys at the current dividend or at the current level with the dividend and portfolio size and, you know, just kinda thinking about run rate earnings going forward, you know, once those loans do close later half one Q, early Q2, do you kind of expect that to be fully supportive of that $0.35 dividend?
Fernando Diaz: Yeah. I can start with that and perhaps Duncan can add some color in terms of loan production. As you know, Matt, you know, the board evaluates the dividend on a quarterly basis. You know, based on market conditions, you know, loan originations and payoffs. And, you know, the forward path of interest rates. So you know, it's something that the board looks at on a quarterly basis, and, you know, I think we will continue to evaluate that along with the board in terms of the dividend.
Tom Lorenzini: Vincent, Matt, I think certainly important to that question is gonna be our pace of production. For the year, we've already closed one transaction earlier this year for $31 million. We've got another in the $19 million that we mentioned that's in closing. So we'll let those two close this quarter. And then we've got another, you know, another $50, $60 million that we can put out in two more deals, you know, probably in the second quarter at some point, and then we start getting the repayments recycling that cash. So as far as supporting the difference, it's really gonna just depend on how quickly we can get the initial dollars out to continue to support the plan.
Matthew Erdner: Got it. That's helpful. And then kind of as a follow-up, to that, you know, when looking at payoffs, how much insight, you know, can you guys see into that, you know, because it looks like with the original maturity date, you know, there's about 58% of the portfolio give or take that was scheduled to mature this year. You know, and you mentioned the back half, but, you know, how good of a look into that do you guys have?
Tom Lorenzini: Well, look, we certainly speak with our sponsors at a minimum monthly as they provide their performance package on the properties, but you know, we're acutely aware of, you know, the upcoming maturities and we're working with the sponsorship. So what I can tell you is that when we look through the schedule here, there's eleven loans that are gonna mature in 2025. Several of those we know will extend. Some of the extensions by right. Some there's some early maturities coming up quickly now. We've got one in Maryland on a retail center. They are actively pursuing two paths to either sell or refinance us. There may be a short-term extension we do there, and then we've got another property outside of Chicago in Downers Grove that is maturing here at the end of February, we've agreed to extend on a short-term basis there as well while they continue to work with their bank on a refinance. And then the rest of the loans, if you look at the schedule, they're really not scheduled until Q3 and Q4.
Matthew Erdner: Got it. Yeah, that's very helpful. Thank you for that.
Operator: Our next question will come from Chris Muller with Citizens JMP. Please go ahead.
Chris Muller: Hey, everyone. Thanks for taking the questions and so I guess how are you guys thinking about leverage in 2025? And just to put that in a little context, the Centimeters REITs typically used to operate in a 3.0 to 1 type leverage scenario. But you guys are well below that today, which gives you a lot of flexibility going forward. So just curious on any thoughts you guys have on leverage going forward.
Fernando Diaz: Yeah. Happy to take that. We as you know, we finished the quarter at 1.6 times, you know, with the amount of capital that Tom alluded to earlier, probably putting another $100 million to work, that can get us comfortably probably around the 2 times leverage. You know, which is probably a little bit under where we wanna be. But at this point, you know, back maximum leverage will be about 2.5 times, but currently probably around 2, a little bit north of 2 as we put the money to work. And a part of that equation, keep in mind, is that, you know, on I think four of the six office loans that we have were pretty underlevered. So that factors into keeping that number low.
Chris Muller: Got it. That's helpful. And then maybe something that would impact that leverage a little more dramatically. Hearing and you guys touched on this in your prepared remarks, securitization markets are tightening up and becoming a little more attractive. So is a CLO something that could fit into the Seven Hills Realty Trust vehicle and how are you guys thinking about the CLO market as we sit today?
Jared Lewis: Hey, Chris. This is Jared. I can address that. Yeah. With respect to our The CMBS and CRE CLO markets, they're definitely back. They're very active, and they're a huge catalyst to the, you know, driving spreads downward. As a result of that, you know, we gained the benefit of that with our repo facilities as well. So, you know, we're CLO prints happen, it kinda translates into our borrowing cost as well. So that's a benefit to us. Our ability, however, to access or tap into that CRE CLO market is a little bit challenging today given the size of the portfolio. As you know, the majority of those structures are collateralized with multifamily properties and generally, they're from three-quarters of a billion to a billion dollars for each of those deals. So, you know, for us to really access that market, we'd have to originate all of our loans, and that probably multifamily world and, you know, start from scratch all over again. You know, our portfolio we think is performing well, and so we continue to find ways to generate returns elsewhere.
Chris Muller: Got it. So CLO would kinda be a next chapter once we get through this current cycle. So appreciate the comments today, and I look forward to seeing the story play out in 2025. Thank you.
Operator: With no further questions, this concludes our question and answer session. I would like to turn the conference back over to Tom Lorenzini, President and Chief Investment Officer, for any closing remarks.
Tom Lorenzini: Thank you very much for joining our call today. The call is now ended.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.